Operator: Starts Abruptly [Operator Instructions] Please note, that this conference is being recorded. I will now turn the call over to your hostess for today’s conference, Bisera Grubesic Head of Treasury and Investor Relations. You may begin.
Bisera Grubesic: Thank you, operator. Good afternoon and welcome to our conference call, during which we will discuss our operational highlights and financial results for the third quarter of 2015. With me today are Harold Goddijn, our CEO; and Taco Titulaer, our CFO. You can also listen to the call on our website and the recording of the call will be available shortly afterwards. And as usual, I would like to point out that Safe Harbor applies. We will start today’s call with Harold who will discuss the key operational developments, followed by a more detailed look at the quarterly financial results from Taco. We will then take your questions. And with that, Harold, I would like to hand over to you.
Harold Goddijn: Well, thank you very much Bisera. And welcome ladies and gentlemen and thank you for joining us on today’s earnings call. We generated good revenue of €254 million in the quarter and that is up 8% year-on-year. This is in line with our plan to deliver growth in the second half of 2015. Taco will provide further information on the financials and the outlook later during his presentation. I will now discuss our key operational highlights for business unit. Our Consumer activities held up well through combination of a resilient growth of our PND and niche categories in the drive segment and growth in the sports products. In Q3, we saw a unit decline of 8% in the European PND market, whilst the North American market declined by 20%. Our market share in Europe and North America improved year-on-year. We continued to strengthen our ASP, as our product mix in the quarter was skewed towards higher priced models. In the quarter, we made further inroads in diversifying our consumer business. We extended our sports product range with the launch of a new generation of sports and fitness watches with integrated music player and 24/7 activity tracking. We continue to broaden our offering in niche markets with the introduction of TRUCKER 5000 which is specifically designed for drivers of large vehicles. We also announced a number of new contracts with our BRIDGE business-to-business drive terminal amongst others with Daimler regarding FleetBoard’s transport management services with ASAP, which is a solution for field force automation and utility sector. There was a Scandinavian company called Frogne who developed a Advanced Fiscal Taximeter and Tech Mahindra developed a business-to-business ADAS connected car solution. Our automotive business developed as anticipated owing to the phasing out of certain contracts. Allocation technologies are gaining significant interest in the automotive industry as reflected in the level of bookings we secured this year which so far exceeds €250 million. This level of order intake is substantially higher than in previous years, which is a good indication that our strategy in automotive is taking halt. Our business will continue to require high levels of investments both OpEx and CapEx in the near future. This is needed to support delivery of the new business won and sustainable future growth of TomTom. In the quarter, we announced a number of new contract wins with Fiat, Alfa Romeo and SsangYong Motors. We also announced a partnership with Bosch to collaborate in the area of mapping technologies for highly automated driving. We extended our product portfolio with RoadDNA, which offers precise location technology for automated driving. And we also launched an HAD Map of Germany, covering the complete Autobahn network. I’ll give you a quick update on where we are with our new mapping platform. With our new mapping platform our map is updated continuously, using transactions with automatic quality control. An update is available to customer applications as soon as the transaction is completed. And this helps us to dramatically reduce the time between change detection and publishing a new map, which can also do incrementally now to deliver real-time maps. Some customer applications in particular automated driving plays a high premium on being up to date with the latest real-world changes. For most countries, our maps are already being maintained on our new transactional map-making system and we will be fully deployed towards the end of this year. And now, Telematics. By the end of the quarter, we reported 522,000 vehicles subscribed to our WEBFLEET platform, which is a 26% increase year-on-year. The integration of the two acquisitions we made last year, DAMS and Fleetlogic are developing according to plan. We also announced a partnership with Pon, who is the Dutch importer for Audi, Volkswagen and Porsche. Under this partnership we’re developing and implementing systems for the connected car, we are making information about the car like engines status, maintenance information, fuel consumption, driver behavior available to drivers who can share that information with others including dealerships. This completes my part of the presentation. I would now like to hand over to Taco.
Taco Titulaer: Thank you, Harold. I shall now review the financial results. We generated revenue of €254 million in this quarter that’s 8% higher compared with the same quarter last year and that compares with the 3% of growth that we saw in the first half of the year. Consumer revenue was up 5% year-over-year in the quarter compared with a decline of 2% that we saw in the first half of the year. The increase is result of the resilient PND business and a growth in our sports activities. Automotive revenue was flat year-over-year in the quarter compared with 17% decline we saw in the first half of the year. As Harold already mentioned earlier our order book for this year so far it’s above €250 million which together with earlier secured orders will support growth in our TomTom from 2016 onwards. Licensing did very well it was up 32% year-over-year in the quarter compared with 27% growth in the first half of the year. The year-on-year increase we have seen throughout the year is driven by both existing accounts as well by new accounts. Telematics revenue was up 12% year-over-year and compared with the 30% increase we saw on the first half of the year. This was driven by relative weaker sales during the summer months and a normalized performance at the end of the quarter. We expect the fourth quarter as a whole to show a strong growth than what we reported of that third quarter. Overall we delivered a solid set of results for the quarter and however the strong dollar continued to considerably impact our results like did in the first half of the year. Our gross margin was 53% in the quarter which is four percentage points lower compared with the 57% we reported for Q3 2014. The gross margin for Q3 2015 at constant currencies was 58%, which was actually one percentage point higher than last year. Total OpEx for the quarter was €130 million, which is €5 million above the same quarter of last year and that’s driven by the growth of our workforce and higher marketing, which was partially offset by lower amortization of technology and databases as we had a run off last year. We expect the quarterly run rate for OpEx in the fourth quarter overall to be mostly up to what we’ve seen in the third quarter. We delivered a net result of €2 million which translates in the adjusted earnings per share of €0.05 on the fully diluted basis and if you add the movements in our net deferred revenue and deferred cost of sales year-over-year of growth to €40 million. It takes off 25% corporate income tax and divided by the total number of shares. You could add €0.13 to the adjusted earnings per share. We finished the quarter with net cash position of €94 million compared with €77 million last quarter and compared with €104 million last year. We generated €47 million from operating activities; capital investments equaled €31 million and largely related to the investments in our new map production platform and the Connected Navigation System components for the automotive industry. Let’s now move on to our outlook on Slide 7. We are reiterating our guidance for the full-year. We continue to expect revenue to grow this year to around €1 million. We expect to see growth in three of our four business units, so not it automotive where we expect a modest decline year-on-year ahead of growth in 2016. We expect the level of investments both CapEx and OpEx in our core technologies to be modestly higher than last year. We continue to expect adjusted earnings per share of around €0.20. That concludes the formal part of the presentation. Operator, we would now like to start with the Q&A session.
Operator: Certainly. [Operator Instructions] We will now take our first question from Alexander Peterc from Exane. Please go ahead. Your line is now open.
Alexander Peterc: Yes, good afternoon and thanks for taking my question. I would just like to you to clarify the €0.13 is that the quarter or the nine months? And is that just pertaining to the deferred revenue situation? Just like to understand that really well. And then, the second question would be regarding your operating leverage in automotive and in licensing. If you could spell out to us a little bit how EBIT should evolve in those areas moving forward into next year. Will we see more operating leverage in licensing and auto, and why? Thank you.
Taco Titulaer: So the €0.13 per share is on a full-year basis, so not specifically for Q3. There are some reason why we take the full-year perspective is that there are some seasonal trends. And also, we have some accounts that pay once a year for coming 12 months, so then you see a fluctuation in the deferred revenue line, as we have seen if you go from Q2 to Q3. So if you compare Q3 now with Q3 last year then the net addition to our deferred revenue, and if you deduct the deferred cost of sales is €39.5 million. If you take out the corporate income tax of 25%, you arrive at €29.6 million and then you divide by two into 36 or 37 million shares and then you get to the €0.13. So that is a €0.13 that you could add to the overall adjusted earnings per share from the full-year. So note specifically on Q3. The second question was operational efforts in automotive and licensing. We need to – it’s a bit too early to give guidance for 2016 and 2017 and beyond, but what you need to realize is that the automotive bookings will have an effect on our OpEx levels. Some contracts will require upfront investments in our map content and technology, that’s more the case with automotive than it is with licensing. But we more and more view automotive and licensing as a group. And we will see operational leverage – that some of that operational leverage will be invested in the short-term to given excellent product to our new customers and automotive.
Alexander Peterc: Excellent. Thank you.
Operator: We’ll now take our next question comes from Marc Hesselink from ABN AMRO. Please go ahead your line is now open.
Marc Hesselink: Yes, thank you. I would like to know your view on what happened in the competitive landscape. Obviously, HERE being sold to the consortium of the carmakers; but also, in the market stories about Apple or [indiscernible] Uber making some kind of proprietary map for themselves. How do you see that, going forward? And what will be your position in there? And how can you compete with these players? Or will there be a competitor for some of them? Secondly, related to that, your views on market shares. I think you’re winning market share at the moment with current trends, but what are your trends? And what are your discussions that you’re currently having with the automotive clients? And a final question is also a bit related to the costs. When you have the migration done on the year end, the investments that you spare on your old platform, will you completely reinvest that into the new platform? Those were the two questions?
Harold Goddijn: Okay. Thanks Marc. Okay, yes, so competitive landscape, obviously things are changing with the plant acquisition of Nokia HERE by the German carmakers. But it is for me too early to give you an indication what the net results of that is going to be. I prefer to wait until we have more clarity and what is going to happen and how the German carmakers are going to play it. Currently, the transaction is not yet consumed. There are still, what is it, the regulatory approvals needed, and after that it will take some time before the dust has settled and before we get that visibility on that. So I’m not going to comment now what I think the net effect of that is going to be. Yes, competitive landscape beyond Nokia HERE, I think in the field of highly automated driving there is a lot of experimentation going on. We know carmakers that have done proprietary stuff for test tracks in terms of mapping. We are talking to those guys. We are comparing notes. I think there is a sense that this needs to be done professionally in the large scale. And I think we are well-positioned given where we are already with our HAD investment technologies and standardization, that we have a role to play in that space, but again also in the area of highly automated driving it will take at least I would say 18 months, 24 months before we have more clarity on what it is exactly the industry will need from us and how those business models around highly automated driving going to develop, but I can tell you there is a little activity going on both in Europe, America and in Asia around topic and as you can imagine we are party to quite a few of those discussions going on. Your last question if I understand that correctly is OpEx related to the creation of our new map-making platform.
Taco Titulaer: Yes, maybe I can take that one. So we are well advanced in migrating all our countries to our new platform, that’s a transaction-based platform. We aim to have concluded that transaction by the end of the year. A lot of these countries are already – lot of the countries are already edited on the new platform like the U.S. to just name one. It does not mean that investments will stop on January 1. It will take time to further improve the platform and add features and quality rules and what have you. So I think that the investors will continue in 2016, but, indeed, will start to decline in the second half of 2016. That said the enormous success that we have shown in the order book in automotive will lead to additional investments both in CapEx and OpEx. So some of the reduction in specific investments that we will see from investment in our technology will shift to investments that we need to make in the delivery of the new products to our new automotive clients.
Marc Hesselink: That’s clear. Maybe just one follow-up on the automotive order intake you are winning market share, but it’s also the buying is getting bigger quite quickly. Can you give a bit of a split what is the most important driver of your order intake that’s more than three times as big as your sales at the moment?
Harold Goddijn: You mean if it is the buyer, or it is the market share?
Marc Hesselink: Yes, what’s the main driver at the moment for the strong order intake?
Taco Titulaer: The main driver for the ordering is market share. We are winning more deals.
Harold Goddijn: On the pie question, so the traditional use case for maps is entertainment and the take rate is 25%, 30%. And that is not fundamentally changing in the coming years, not this decade and next decade you can talk about different use cases for the map for highly automated driving and self-parking cars and what have you and the take rates go from 25% in theory to 100% and that will indeed quadruple the pie, but the order intake that we are seeing today is not related to that that is the more traditional use case at, as we call entertainment maps for navigation.
Marc Hesselink: Okay, very clear. Thanks.
Operator: The next question comes from Hans Slob from Rabobank. Please go ahead. Your line is now open.
Hans Slob: Yes, thanks for taking my questions. First question is what percentage of your automotive bookings are with Volkswagen? Second question is could you give an update on the Insurance Telematics initiatives and third is will the strong automotive bookings also likely drive further sales growth for TomTom automotive in 2017?
Taco Titulaer: Yes, so currently supplying Volkswagen in North America it’s a relatively small compared to our total revenue is that’s a relatively small number I can’t disclose the exact number and in the – so that is I think that answers your - the second question what’s going on in Telematics on the insurance side. While it’s quite interesting there is that’s been wrong in the making when we’ve done a lot of trials and a lot of smaller deals we start to see some traction in the insurance market to use its based insurance. I wouldn’t say its mass, I wouldn’t say it’s going to overtake the market by storm, but we see higher levels of activity, we see some traction taking place in that space. In our Telematics revenue it is still the most amount of revenue that is generated through Insurance Telematics. Your third question was do you see further growth beyond 2016 and the answer is yes. So if you look at for instance our order intake for 2015 this year which is currently was at the end of the quarter €250 million that will always start to be visible in the topline on an average two years after to the moment deals done. So you won’t see any positive contribution of those orders in 2016 that will only start in 2017. So yes we anticipate continued strong growth - topline growth in the automotive segment beyond 2016.
Hans Slob: Thanks, many thanks.
Operator: Next question comes from Marc Zwartsenburg from ING. Please go ahead. Your line is now open.
Marc Zwartsenburg: First, starting with the Q4 and your outlook, I’m seeing your working capital increase. Should we see, based on say, the inventory buildup, your working capital needs a stronger consumer segment in Q4 than is normally seasonally the development from Q3 into Q4? That’s my first question. Then, perhaps also on Q4, I’m looking at exchange rate impacts so below the EBIT line. The Exchange rate facilities still quite negative. Should we expect, say, a more zero result there because the ForEx comps are getting more normal year-on-year? Or should we expect a plus? Can you give us a bit more guidance on that line? Then on OpEx, and that’s for Q4 and beyond, I think, Taco, you mentioned that OpEx should be modestly up in Q4. Is modestly up sort of similar seasonality we saw last year, say, a €5 million, €6 million increase; and then, beyond that you’re saying, okay, we’re going to see some more OpEx investment because of the development of the order book in automotive. Are we talking then more about a €10 million or €20 million uptick in SG&A? Could you give us a bit more feel for what we should expect there? And then, on automotive, if I may continue, we see now – what market share, because it’s been asked by, Marc, I believe, what markets yes do you think you currently have, based on your order book? Because we know that your market share is 25%, 35% just on actual revenue, but where are we in terms of order book, if you take that into account? And then, perhaps also following up on the diesel impacts on the German carmakers, and perhaps the consortium, do you see any developments in terms of how the other OEMs react to that? Because you talk to, I presume, all your OEMs that are in the market. Do you see - could you perhaps share us a bit what’s behind the scenes you feel is going on? That’s it for now.
Harold Goddijn: So, I started to write down your questions when you talked about Q4…
Marc Zwartsenburg: Yes.
Harold Goddijn: What was the first question?
Marc Zwartsenburg: Yes. The first question was about the consumer segment. We know that the Q4 is always a stronger seasonal quarter, but should we now see a stronger seasonal impact because of the new product launches and the fact that your working capital is up, which, I assume, has to do with inventory build up? So, should we expect stronger seasonal uptick in Q4 than normally in the consumer segment? It was the first one.
Harold Goddijn: So PND, the seasonality in PND has shifted, right? So years ago seasonality was that Q4 was very strong, and now it’s shifting more to Q2, it’s more towards the holiday season. With new products like sports watches and action cameras, et cetera, you go towards the Q4 as a stronger quarter. And indeed so I think in absolute terms the pickup this year what we expect in consumer will be a bit higher than what we saw last year.
Marc Zwartsenburg: Okay. Fair enough.
Harold Goddijn: So the next question is exchange rates. The average euro/dollar exchange rate last year was 1.25. So that’s still bit higher or softer dollar than what we are currently trading at. So the dollar rate is now 1.30. So, we are doing our best to deal with the new reality, but it still have an effect. It’s both I mean the strengthening [Audio Dip].
Marc Zwartsenburg: Yes, now you’re talking probably about the gross margin, that you can perhaps improve it within the channel. But I was referring to the exchange rate result below the EBIT in relation to your EPS guidance, if you get another hit, say of €3 million on your exchange rate.
Harold Goddijn: No, that is not necessary related to the dollar, it can also related to the other currencies.
Marc Zwartsenburg: Yes. What do we expect there?
Harold Goddijn: We tend to hedge – or we hedge the US dollar and the pound. But other currencies, like the South Africa rand, devaluated a loss in Q3 and that had an effect on our [FRMG common] expense.
Marc Zwartsenburg: Okay.
Harold Goddijn: So those are more incidental items that I don’t expect to reoccur. OpEx will go up with the same as we saw last year, in absolute terms, a little bit less probably but it will see similar trends.
Marc Zwartsenburg: Okay.
Harold Goddijn: Then your question was about automotive investments for next year?
Marc Zwartsenburg: No. Also on OpEx, for next year you say maybe you get some extra costs for the order book build up in automotive, all that. But what kind of impact should we see on the OpEx line? Shall we see, say, versus last year you probably are now looking at just north of €10 million of an increase year-on-year on a full-year basis? Should we expect €20 million for next year to take into account that you have more costs related to the order book?
Taco Titulaer: I would really like to defer that question to February. A bit too early to comment on that.
Marc Zwartsenburg: Okay.
Taco Titulaer: We first need to see where 2015 will end and then we can make proper analysis on what kind of year-on-year increase we can expect.
Marc Zwartsenburg: Okay, yes.
Harold Goddijn: Market share automotive, yes, that’s a tough one to say what our future market share is going to be, I think that’s where the question boils down to. That would require a certain insight also in the order book of our main competitors which we don’t have. But I think the trend is definitely positive now. Two years ago, our order intake was, I think €130 million last year it was €220 million or €170 million around the same time, now that’s come up to €250 million so we are on a positive trend. And I think there is more to come, I think what we’re doing is seen as relevant, innovative, and strategically correct. We’ve seen that translated in orders already, and I think we are in a good position to continue that trend.
Marc Zwartsenburg: Okay. Harold, you mentioned that you were at €170 million same time last year, you ended at €220 million. Is that the normal seasonality through a year? Or is there nothing you can say about seasonality? When do these deals really come in? On a set date, for instance?
Harold Goddijn: No, that is the difficulty with automotive. It is rather binary whether a deal – it’s not a linear process. So that’s also why I’m very reluctant to give you any indication for Q4 of the order intake because it can really – it can be quite lumpy. So…
Marc Zwartsenburg: Can you share, perhaps, whether the pipeline in tendering is very busy or --?
Harold Goddijn: Yes, the levels of activity are good. There is no doubt about it. We have the interest, we have the ear. As I said we are doing innovative things. We are leading in traffic which is increasingly important and embedded in more cars now than ever before. Certainly in Europe we have 80% market share which is very good, so things are happening and that gives us confidence that we’ll be able to continue to trend.
Marc Zwartsenburg: Okay, clear. Thank you. And the final one on the diesel impact and the moves…
Harold Goddijn: Yes, the diesel impact, the Dieselgate is I think more in general term, I think the industry is worried and concerned about not in relation to maps with more general what Dieselgate will eventually bring to the industry. I think everybody is watching this very, very closely and also nervously that I don’t see a direct link between Dieselgate and our position in the mapping market.
Marc Zwartsenburg: You don’t think there’s an effect that’s because Dieselgate and the consortium being involved, that others want to keep away from that?
Harold Goddijn: No, I don’t see that.
Marc Zwartsenburg: Okay.
Operator: Next question comes from Martijn den Drijver from SNS Securities. Please go ahead. Your line is now open.
Martijn den Drijver: Yes, thank you for taking my question. Well, after the long list of Marc, I only have one question left. When we talk about the investments in the map for automotive clients, what you just mentioned is one of the reasons for the higher OpEx and CapEx, can you elaborate a little bit on what types of investments you actually need to make? Because we’ve always been, or I’ve been, assuming that you weren’t much behind, or maybe not even at all behind, Nokia HERE in terms of the quality of your maps for the automotive market. So maybe you can shed some light on where that delta is coming from; and how you can actually catch up; and whether that can be done in one year, or should we think about a multi-year process?
Harold Goddijn: Well, Martijn I think the focus is so we do two things, we design and develop systems to create maps, let’s say we’re building the infrastructure to factory and then we operate that factory and creating content. And what we see and what we expect is that the demand for accuracy and freshness will go up in the coming years and that the factory needs to be able to handle that. We can’t just build new factories and add a lot of operators that will not be the right strategy. The right strategy is to rely more than in the past on machine learning, on processing, sensor-derived observations and our ways of automated map-making. If we look at our mapping platform, this year we are finalizing a big milestone and that is moving over from old to new that you will see and we will see ongoing investment in further automation. So we are working actively for instance with Tier 1s and also with OEs to extract life information or information from a vehicle life and then just within the map process that automatically and then give them back. So that’s a type of investment that will continue to happen so relatively speaking we continue to invest at relatively high levels in the tools in automation and in machine learning and the quality and the accuracy of the map will benefit from that and without having too high operational expense because that’s not what the market can or want to afford.
Martijn den Drijver: So, effectively, you’re saying that your map-making process, as you have it today, will ensure that the additional investment that you need in 2016 are some sort of a one-off? After that, you can have maps that are equal to Nokia, so you don’t have this catch-up investment?
Harold Goddijn: Well, it’s an ongoing game as I said the requirement and the amount of maps will go up, but we strongly believe that the one who can make those maps faster and at lower cost is the business is going to win.
Martijn den Drijver: Okay, thank you.
Taco Titulaer: And the efforts are designed around that strategy do more automated do that lower cost, do that faster get high granularity and detail, but that’s constant cost if you like.
Martijn den Drijver: Okay, thank you.
Operator: The next question comes from Youssef Essaegh from Barclays. Please go ahead. Your line is now open.
Youssef Essaegh: Hello, thanks for letting me and I have two questions. The first one is on the consumer business. Initially, the strategy was to make a broad portfolio of SatNavs. That was very successful for years, but now it seems like that your business is evolving more and more towards smaller and more niche products. So I was thinking, do you expect to keep pushing in that direction, or eventually to rationalize a little bit the various directions you’ve been exploring recently?
Harold Goddijn: Yes, it’s a good question. So we feel good about the progress we made in sports in particular that took a while, but we calling now we are gaining momentum, we are getting also crucially credibility in that space and we think we can turn it into a very significant revenue stream so we are good about that and we will continue along that path. I think it was the camera it is a bit earlier and we’ve just launched that similarly we’ll take some time before that sticks and before we can see significant revenue coming through. We are busy now in developing those products categories and that has our full focus and we will see whether it needs changing in the future or not, but for the moment I think attraction we are having in sports products is okay, satisfactory and we have a big opportunity with the camera ahead of us. We’ll continue to work on that and develop that further.
Youssef Essaegh: Thank you. Elsewhere in the business, I just wanted to just check your views on the automotive business. Sorry, another one on automotive, but I’m sure it’s going to be different. If you look at HERE today, they have a 80% share of what’s out there, maybe gaining a bit of share, but I mean HERE being the leader, achieved more or less 10% underlying EBIT margin and we’re talking about eventually getting somewhere into the low to mid-teens as things like automated cars and more of these high-end services around map starts to roll out. So my question is, especially if you become aggressive on this market as well and try to gain share, where do you see the kind of margin that you can achieve, knowing that HERE comes 80% market share with 10% EBIT margin? If now you too, even with the added sort of the services, what sort of margin in industry do you think we’re going to see in the long-term?
Harold Goddijn: Well, as I said early in my previous call that I think the one who is going to make the best maps at lowest cost is going to win and that is our strategy. And if you look at cost effectiveness I think we are a lot more cost effective already than competition. We’ll continue to add efficiency through automated map making and that is that is where it want to be. So I don’t want to compare our cost structure to cost structure of HERE, at all.
Youssef Essaegh: So I mean if you’re - putting it slightly differently, if you achieve the same kind of market share that HERE have had historically, you see yourself basically with a much higher margin than the 10% they’ve been doing?
Taco Titulaer: We – our aim is to do it at much lower cost.
Youssef Essaegh: Okay. Thank you.
Operator: Next question comes from Francois Bouvignies. Please go ahead your line is now open.
Francois-Xavier Bouvignies: Yes, hello thank you for taking my question. I just have two questions. The first one is on sports revenues. Can you give us an update on your guidance, because I think you mentioned you would double the revenues in 2015. So how’s it going? And what is the growth this quarter for sport revenues? How should we think about next year? And the second one is on Telematics. Obviously, Q3 was a bit lower than expected, so I wanted to have your thoughts on Q4. And how should we think about next year, given the strong growth you had this year? Thank you very much.
Taco Titulaer: Yes, let me take the sports question. So when we started the year, we had set ourself an impressive target to double our revenue in sports. Now 10 months into the year we are very positive, and enthusiastic still. But also, we suffered from some launch delays, so the action cam was launched a couple of months later. And also, with our sports watches, we launched them towards the end of Q3, where initially we hoped to launch them earlier in the third quarter. So if you add that all up, I think doubling the revenue for the full year is a bit of stretch. The revenue that we’ve seen in Q3 is a good but that did not involve the new products yet we [Audio Dip] because they only start shipping for a couple days in - at the end quarter. So Q4 we will be deciding so far so good, enough demand. And we’re working hard to meet all that demand. But in the second half of Q4 we will really have more inside about the sell through, but so far so good for sports.
Francois-Xavier Bouvignies: And just a follow up on this. We saw, for example, Garmin, which is doing also sports [revenues] fitness, and they recently lowered their guidance from 25% to 15%, showing a tough environment in this area. Do you see anything of this kind, as well?
Harold Goddijn: I think we are in a different position because we are introducing new products and we are expanding all our range. So I am not pointing into markets or competition competitive pressure at this point, it’s more the launch dates of our products have had the biggest influence so far.
Francois-Xavier Bouvignies: Okay, thanks. And on Telematics?
Harold Goddijn: Yes, Telematics. I think Telematic is good. The good news about Q3 was that September was good. The not so good news about Q3 is that July and August were not also good. But the September performance gives us confidence that we have a more normalized quarter again in the fourth quarter, where we will see revenue at the levels that we’ve seen in the second quarter, some of the level that we saw in the third quarter. Yes I don’t think there is anything fundamental here. It’s a bit the effect of the strong second quarter where our distributor partners have a bit too much hardware at hand and we had to wait until that sold through. But that happened at the end of the quarter.
Francois-Xavier Bouvignies: And any color on next year? Given the stronger that you have with acquisitions, so I was wondering what type of costs we should look at?
Taco Titulaer: It’s bit too early. It’s bit too early. So I would rather wait with answering that question I have the full results, and then I can have a better estimate. Otherwise, I have two variables, right? I don’t know exactly what 2015 is, and I don’t know what 2016 is. So that makes it a bit hard. But I can – I see growth, I can say that’s for 2016, but how big the growth will be, that answer has to wait until February?
Francois-Xavier Bouvignies: Great. Thank you very much.
Operator: [Operator Instructions] The next question comes from Shyam Kumar from TT International. Please go ahead. Your line is now open.
Shyam Kumar: Hi there, and thank you very much. I’d like to ask a strategic question regarding the automotive and licensing business. And I’m trying to get a sense of what the tangible addressable market you believe you could face in those businesses going out, say, three, four, five years in that obviously it’s fine to be investing. I think there’s a huge opportunity for you guys to go for. As you said, your order growth has already hit sort of €250 million in autos, and that’s market share-driven, but before we get any inflexion from the growth of semiautonomous and autonomous vehicles. So I’d just like your internal projections or – not internal projections, sorry, I rephrase that. How you’re thinking about it in terms of the market opportunity you’re targeting on a three, four, five-year view. And the reason I’m thinking that is part of it comes down to how one values your mapping assets with the variation I have seen from the analyst from €400 million to €500 million which is today revenue base to – comparable to where the Nokia HERE valuation was. So I think to square that circle, maybe understanding the longer term tangible addressable market. And then how you think that can really develop in automotive and licensing through till the end of the decade, please.
Harold Goddijn: Well, that’s a tough one so we have reasonable visibility of what’s happening to let’s say this traditional map product which is used for navigation and that is in infotainment systems. If you look at those the market development also not just projected by ourselves, but those are by others that is likely to go up. So market penetration despite some brought-in products like Apple, Car Play and Google have [Audio Dip] will continue to go up because already you see integration of maps with securities active safety systems in car and those type of applications are gaining traction in the marketplace as well. And very surprisingly the attachment rate currently is relatively low, people think it’s 100%, but in reality it is about 25%, 26% of cars that are now coming with car navigation system built-in. So there is a room for growth. Now, if you look at the new types of mapping for highly automated driving there that is uncertain, uncertain is exactly the introduction dates to growth the acceptance by ordinary people of those new technologies the cost at which they will come to market initially. So there is a lot to learn and a lot to explore in the coming years, but I think it’s fair to say that all mainstream established players are looking to have self driving cars in the marketplace and they will start in the motor ways that will learn and that will continue to refine those systems [Audio Dip]. Maps are new for that, we are well positioned to play a role there, but quite frankly, I cannot give you an indication how that will financially pack out, other than that there is a huge opportunity to have, but how, when and how fast is much hard to predict.
Shyam Kumar: And but theoretically, in terms of the attachment rate, I know earlier on Taco said we haven’t quite seen the pickup yet from these more autonomous or semiautonomous features but attachment rate theoretically could reach 100% as and when more - well, semiautonomous features comes endemic in all cars. Any sense of the timeframe? Is that towards the end of the decade, maybe, we start moving to that sort of level?
Harold Goddijn: No, that is far too early. I think 2019 you will see the first cars come to market.
Shyam Kumar: Okay.
Harold Goddijn: That will be niche and then next question is how quickly will that be accepted by users and how quick for those systems will come down before they can become mainstream.
Shyam Kumar: Okay, fine. And just in terms of your order growth this year, so you’re doing about 50% order growth in your auto business this year. I know it’s lumpy, but there’s obviously structural trend growth there. Is it going to remain in this 20%, 30%, 40%, 50% growth level going out, do you think? Or is it too early to - you don’t want to forecast that?
Harold Goddijn: No again that I don’t want to forecast that.
Shyam Kumar: Okay. Fair enough.
Harold Goddijn: There’s change going on in the industry as well, that we are all aware of. It will take some time for that news to settle and for everybody to come to grips with new situation and then place his bets.
Shyam Kumar: Okay. End of Q&A
Operator: There are no further questions in the queue.
Bisera Grubesic: Thank you, operator. I would like to thank you all for joining us this afternoon. If you have any follow-up questions at a later time, please do not hesitate to give me a call. And thank you all very much. Operator, you can close the call.
Operator: Thank you. [Audio Dip] ladies and gentlemen, you may now disconnect.